Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the European Wax Center’s Second Quarter [ph] Fiscal 2022 Earnings Call. At this time, all participants are in listen-only mode. After the speaker’s presentation, there’ll be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to turn the conference over to your speaker today, Amir Yeganehjoo, Senior Vice President of Financial Planning and Investor Relations. Sir, you may begin.
Amir Yeganehjoo: Thank you. And welcome to European Wax Center’s third quarter fiscal 2022 earnings call. With me today are David Berg, Chief Executive Officer; and David Willis, Chief Financial and Chief Operating Officer. For today’s call, David Berg will begin with a brief review of our third quarter performance and discuss the progress against our fiscal 2022 priorities. Then David Willis, will provide additional details regarding our financial performance and our guidance. Following our prepared remarks, David Berg, David Willis and I will be available to take questions. Before we start, I would like to remind you of our legal disclaimer. We will make certain statements today, which are forward-looking within the meaning of the Federal Securities Laws, including statements about the outlook of our business and other matters preference in our earnings release issued today. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings, as well as our earnings release issued today for a more detailed description of the risk factors that may affect our results. Please also note that these forward-looking statements reflect our opinions only as of the date of this call and we take no obligation to revise or publicly release the results of any revision to our forward-looking statements in light of new information or future events. Also, during this call, we will discuss non-GAAP financial measures, which adjust our GAAP results to eliminate the impact of certain items. You will find additional information regarding those non-GAAP financial measures and a reconciliation of those non-GAAP to GAAP measures in our earnings release. A live broadcast of this call is also available on the Investor Relations section of our website at investors.waxcenter.com. I will now turn the call over to David Berg.
David Berg: Thank you, Amir, and good afternoon everyone. Thank you for joining us today. We are pleased to deliver Q3 performance in line with our expectations, continuing to demonstrate the strength of the European Wax Center business model and our strong guest relationships. I'm especially proud that our, says and dos continue to match in the midst of a very dynamic consumer environment. I want to thank both our team and our franchise partners who continue to execute on our initiatives, while delighting our loyal guests with exceptional service. Even in an uncertain macroeconomic environment, the recurring nature of hair growth and our position as the leader in the out-of-home hair removal category, reinforces our confidence in the strength and resiliency of our model and our long-term growth trajectory. From a top line standpoint, we delivered on our two key growth drivers, new center openings and same-store sales. We opened 18 new centers ending the quarter with 911 centers across 45 states. With all remaining new fiscal 2022 centers currently under construction and greater visibility to their opening dates, we are once again raising our expectations for fiscal 2022 net new centers to 88 to 90, which represents a year-over-year increase of more than 10%. Turning to our second growth vector. We delivered 4.7% same-store sales growth, driven primarily by pricing actions we took earlier this year. In our third quarter, we generated 7% system-wide sales growth to $235 million, 12% total revenue growth to $55 million and 13% adjusted EBITDA growth to $18.6 million. With the first three quarters of the year behind us, we have more visibility to the remainder of 2022, and thus are able to narrow our full year outlook within the financial ranges we set in March and raised in May, underscoring the durability of our business during a year of macroeconomic challenges. We believe our strategic priorities for 2022 will pave the way for our continued long-term growth. As a reminder, those priorities are, one, expanding our national footprint through new centers; two, capitalizing on our enhanced marketing and loyalty programs to drive deeper customer engagement; three, increasing the pipeline of lack specialists to support our long-term growth; four, leveraging our scale to benefit our supply chain and franchisees; and five, optimizing our capital structure to lower our cost of capital and increase flexibility. I'll cover our progress on the first two initiatives in depth, as well as provide an update on steps we are taking to enhance our capital allocation strategy and then turn the call over to David Willis to discuss the remaining priorities and our updated guidance for the year. First up, expanding our national footprint through new centers. We have the potential to reach 3,000 European Wax Centers domestically. And at just over 900 centers today, we are less than one-third penetrated. We're targeting a long-term high single-digit unit growth to capitalize on our white space, focusing first on the top 20 DMAs in the United States. We are not fully penetrated in any market and with growth opportunities everywhere, our development team continues to deliver. For instance, we are bringing together growth partners and existing operators, who have committed to expand in underpenetrated markets like Los Angeles and Milwaukee. These partnerships are ideal for us as they marry the real estate, commercial and broader franchising expertise of an institutional growth partner with the deep European Wax Center knowledge and operational excellence of an existing EWC franchisee. We have nearly a dozen institutional and self-funded growth partners, whose multiunit commitments comprise more than two-thirds of our development pipeline. Demand from additional partners remains robust and we continue to work on navigating entry points for these institutions to join the network and grow with us. We are still in the early innings of opening centers through these very exciting partnerships. At the same time, commitments from the smaller operators in our network are as strong as ever. The majority of our 2022 growth is still coming from these non-institutional players, with our compelling unit economics, including a modest upfront investment of approximately $350,000, average unit volumes of over $1 million at maturity and robust four-wall margins that remain above pre-pandemic levels, existing franchisees still make up more than 90% of our pipeline. In fact, our three largest franchisees each opened their 50th European Wax Center during Q3 and have future growth ahead of them, as they continue to sign up for additional licenses. It's also important to note that both small and large franchisees are well capitalized, whether with institutional funds or through the 60% cash-on-cash returns generated by their existing mature centers. As a result, rising interest rates have not impacted demand for licenses. We recently held our first brand conference since the pandemic began, and nearly 90% of our franchisees were represented. The feedback was overwhelmingly positive as franchisees gave us a 98% conference satisfaction rating. After networking with each other, sharing best practices viewing our updated center designs and learning new ways to elevate their businesses, franchisees are more enthusiastic than ever about growing with European Wax Center. As I mentioned earlier, as a result of this continued momentum, we are once again raising our new center expectations for 2022. Fixture and permitting constraints also continue to ease, and we have even greater visibility to the timing of upcoming center openings. We now expect 88 to 90 net new centers this year. And with the continued strength of our pipeline, we see a clear path to open at least 90 net new centers in 2023. In summary, franchisee confidence in our brand, business model, and leadership position spurs demand for new centers, which in turn gives us confidence in achieving our high single-digit long-term growth targets and continuing to take share in our growing highly fragmented industry. Our second strategic priority is leveraging our marketing and loyalty programs to drive customer acquisition and engagement. With inflation on the rise, we are laser-focused on engaging both new and existing guests, deepening our relationship with them and driving visits into our centers. As a reminder, our marketing and loyalty tools are unmatched by other players in the out-of-home waxing and hair removal categories. The vast majority of out-of-home waxing is performed by independent proprietors, who lack the resources and scale to reach guests in our capacity as the industry leader. We are confident that, the superiority of our business model and the guest-facing actions we are taking, enable us to successfully manage through macroeconomic uncertainty and emerge stronger over the long term. Our customer demographics skew toward higher earning guests, with average household incomes of over $100,000 and our most engaged guests have significantly higher household incomes. For context, our services start at just $12 a service, and our average service is about $34, making European Wax Center a highly efficient and cost-effective choice for hair removal. Top quintile guests visit us nearly 10 times per year and continue to drive more than half of our sales dollars. Most importantly, current economic conditions have not impacted our top guests visit frequency and their spending with European Wax Center has actually increased. This tells us that, despite the impact of rising inflation these guests remain committed to their EWC waxing routines, and view our services as non-discretionary. We believe the recurring nature of hair growth and the loyalty of our top quintile, meaningfully limits the impact of a tough macroeconomic backdrop. As we discussed last quarter in the middle of Q2, we started to see some of our less frequent episodic guests increase their time between waxes. Transaction volumes rebounded late in the second quarter, but did not fully recover to where they were compared to the beginning of 2022. While both ramping and mature centers continue to comp positively, transaction volume has been down low single digits year-over-year since we exited the second quarter. In response to these trends, we proactively launched several initiatives for the back half of this year to mitigate the impact. Let me review these. First to address the upfront cost of buying a Wax Pass, we offered guests a limited time three plus one Wax Pass. That is purchasing four services for the price of three. We believe this promotion would attract guests that might be too cost conscious in this environment to financially commit to our traditional package of 11 to 12 services. We were pleased to see a significant uptake in the three plus one offer that drove higher Wax Pass volume and conversion year-over-year. It also drove incremental frequency since three-quarters of guests who purchased the three plus one in August, have already used at least two of their services by the end of September. We believe these guests are ideal candidates to buy a larger package over once they deplete their three plus one balance. Therefore, we are leveraging our CRM tools to target and incentivize them through loyalty rewards to purchase our semiannual nine plus three Wax Pass offering in the fourth quarter. Wax Pass holders tend to buy more, visit more and stay active longer. They generate three times the revenue of non-Wax Pass holders visit twice as many times per year and make up nearly 60% of our transactions. Beyond the three plus one promotion, broader Wax Pass sales for the third quarter also remained strong, which underscores the future value of these loyal guests, who will help support revenue during economic headwinds. Our other Q3 levers focused on re-bookings new services and referrals. With these familiar initiatives our franchisees have historically demonstrated an outstanding operational focus that enables them to execute successfully. First, guests are stickier and visit more when they book their next appointment before leaving the center. We ran a rebooking contest for the network and we're pleased to see a meaningful uptick in rebooking rate. Second, we reintroduced a discount for guests adding on a new service for the first time. Not only does this drive incremental revenue through increased services per transaction but it gives us an additional touch point to introduce Wax Pass savings to a cost-conscious guest. Lastly, to attract new guests we doubled our referral rewards bonus amount and saw new guest referral rates increase significantly. Ultimately, all of these efforts helped us deliver third quarter financial results in line with our expectations, aligning our say's and do's once again. In terms of the fourth quarter, we are hyper-focused on initiatives that have been proven to drive the business, while maintaining strong four-wall margins. We are working closely with our franchisees to incentivize wax specialists and associates by extending our rebooking contest. We have also extended the new service discount, to continue to drive services per transaction. As with the three plus one Wax Pass guest, we believe guests adding on a new service are ideal candidates for an additional Wax Pass. Therefore, we're targeting them for our traditional nine plus three Wax Pass offer as well. In addition, we launched our semiannual nine plus three offer two weeks earlier. Typically, this promotion to buy 12 services for the price of nine takes place annually in May, June, November and December. We began offering the nine plus three package in mid-October this year, and have seen encouraging early uptake. We are running a Wax Pass conversion test in center for both wax specialists and guest service associates, highlighting the promotion on our earned social media challenges, and using targeted communications to educate guests on the value of having a wax pass. As a reminder, these actions are enabled by our scale as the dominant category leader in a highly fragmented space. As we continue to deploy levers to drive long-term wax pass adoption, recurring frequency and guest loyalty, we believe we are taking the right steps to navigate a challenged environment and continue to take market share. Finally, I want to highlight that our Board of Directors has taken an important step underscoring its confidence in the future of our business with the authorization of a $40 million share repurchase program. Given our asset-light capital-light business model and ability to generate significant free cash flow, we are confident that this authorization adds an accretive component to our capital allocation strategy and increases our flexibility to continue to deliver long-term shareholder value. Now, I'd like to hand the call over to David Willis to review our remaining strategic priorities our third quarter performance and our guidance for the balance of the year. David, over to you.
David Willis: Thanks, David, and good afternoon, everyone. Our third priority increasing the pipeline of wax specialists will ensure the brand has the service providers needed to support our long-term unit growth. As I shared last quarter, we will always focus on engaging and retaining top talent at our franchise locations. To that end, we've been working to diligently strengthen the European Wax Center reputation on two of the top online hiring platforms Glassdoor and Indeed. We're excited that our Glassdoor metrics have been steadily increasing throughout the year and our Indeed rating has reached a two-year high. During Q3, we also completed an exciting overhaul of our careers web page. Having a robust career site is critical, as it drives twice the conversion rate for interested applicants as compared to third-party hiring platforms. Online applications to our franchise centers have grown year-over-year for the past six months straight and the brand is now receiving more than 1,000 application submissions per month from prospective wax specialists. More robust site engagement reporting is also helping us design wax specialist content that can be leveraged moving forward to promote the brand with targeted associates. I also shared in Q2 that we implemented new labor utilization reporting for our franchisees. Through this tool, we are helping franchisees optimize staffing in their centers and we saw wax specialist utilization rates continue to improve in Q3. We are also providing additional resources around in-center turnover and retention rates. At our recent brand conference that David just mentioned, two-thirds of the session is focused on employee recruiting, management and retention and our franchisees share their enthusiasm for the recent initiatives we've rolled out. From a long-term standpoint, we continue to launch partnerships and produce educational content to support our beauty school outreach programs. We recently partnered with Styles, a social media platform with more than 50,000 beauty students, graduates and professionals to produce a European Wax Center channel within the platform. Our content provides awareness and insight around a career in waxing to our target audience and should serve as an ideal way to introduce potential wax specialists to the brand over time. Government data shows that the industry for cosmetologists and skin care specialists is expected to grow by double-digit rates through 2031 and we believe our efforts will enable us to attract this growing pool of talent and deliver on our unit growth targets for years to come. Our fourth priority is to continue leveraging our scale and enhance our supply chain and share these benefits with our franchisees. Our scale as the category leader enables us to address supply chain risks in ways smaller players simply cannot. We have the leverage with both our suppliers and franchisees to mitigate cost increases and protect our gross margins. While the current environment continues to be dynamic, international freight rates have stabilized from second quarter peaks. Compared to traditional retailers, we have a limited number of SKUs and minimal inventory obsolescence risk, which we view as a competitive advantage. We have nearly six months of wax on hand and a healthy inventory position for our retail products. Ultimately, we believe we are well positioned in this environment and confident in our ability to manage through inflation and potential disruption with the levers we have in place. Finally, our fifth priority is to optimize our capital structure. Our whole business securitization completed in April this year enabled us to advantageously secure a fixed 5.5% interest rate. Importantly, the securitization contains no operating covenants that would constrain our growth. And the terms afford us tremendous flexibility, as we continue to address our white space and expand the brand. As we continue to optimize our balance sheet, we are adding another lever to our existing capital allocation strategy with the announcement of a share repurchase authorization of up to $40 million of our Class A common stock. Given our fixed rate long-term facility and our capital-light asset-light business model that enables us to generate meaningful free cash flow, we are confident in our liquidity position and an ability to deliver long-term shareholder value. Turning to our Q3 financial performance. As David mentioned, we delivered solid results in line with our expectations. Thanks in part to the guest-facing initiatives we launched early in the quarter. Q3 system-wide sales increased 7.3% to $235.2 million and total revenue of $55 million rose 12.3% from Q3 last year. Total revenue growth exceeded system-wide sales growth, due to the medical supply arrangement with franchisees that began early in 2022, which should generate approximately $10 million in total revenue for European Wax Center this year. In terms of same-store sales, new and existing centers generated a combined 4.7% increase. New centers continue to deliver a strong and predictable ramp to maturity, which is a significant contributor to our overall comp performance. Mature centers are also continuing to generate positive comps driven by the pricing actions we took earlier this year. From a transaction standpoint, our third quarter run rate remained consistent with how we exited Q2 and that has continued into Q4. As David mentioned earlier, transaction volume across the network is down low single-digits year-over-year driven by fewer visits from our lower quintile episodic guests. However, our top quintile guests who drive over half of network sales remain strong and active. Due to the strength of these guests and the initiatives David described, we are able to deliver the third quarter in line with our expectations. We delivered $18.6 million in adjusted EBITDA, up from $16.5 million in Q3 last year. Adjusted EBITDA margins were flat year-over-year, largely due to public company costs and our medical supply arrangement with franchisees. As we've said before, this arrangement is approximately 250 basis points dilutive to gross margin rates in 2022 but accretive to gross margin dollars. More importantly, it optimizes the procurement process for our network. Interest expense decreased to $6.8 million. Interest expense in the same quarter last year was $9.5 million, which included $6.3 million in debt extinguishment costs related to the refinancing transaction concurrent with our IPO. Excluding those charges, interest expense would have increased $3.6 million year-over-year due to higher debt balances and interest rates driven by the 5.5% fixed rate refinancing we completed in April of this year. Income tax expense was negligible, as expected, due to our valuation allowance and adjusted net income was $6.7 million. In terms of the balance sheet, we ended the quarter with $41.6 million in cash, $399 million outstanding under our senior secured notes and our $40 million revolver remains fully undrawn. Net cash provided by operating activities was $27.9 million year-to-date compared to only $100,000 in investing outflows, a hallmark of our asset-light capital-light model. Finally, I'd like to provide some detail on our updated outlook for fiscal 2022. As David described, we now have clear visibility into our remaining 2022 new center openings. As a result, we are raising our outlook to 88 to 90 net new locations this year, compared to previous guidance of 83 to 85 centers. As a reminder, we began the year with guidance of 70 to 72 net new centers and our growing pipeline combined with an improving construction and permitting environment has given us confidence to continue raising our outlook. While these incremental 2022 openings would have otherwise opened early next year, the entire license pipeline is strong and we plan to open at least 90 centers in 2023 as well. From a modeling standpoint, sales at our new centers typically build up throughout the first year to nearly $500,000 in year one and continue to ramp to more than $1 million in year five when they are considered mature. Considering this maturity curve, we don't expect a material impact to 2022 sales from the incremental centers this year. Turning to our financial guidance for 2022. Based on our year-to-date performance and expectations for the remainder of the year, we are pleased to be able to narrow our guidance well within the ranges that we set at the beginning of the year, before the dynamic macroeconomic landscape became a top headline. Our guidance contemplates the slight year-over-year decline in transaction volumes that we began to see this summer and discussed on our Q2 earnings call. For fiscal 2022, we now expect system-wide sales between $885 million and $895 million. Total revenue between $202 million and $205 million and same-store sales of approximately 9.5%. We expect gross margin of approximately 71.5% and interest expense of approximately $23.5 million, which includes the $2 million of debt extinguishment costs incurred in Q2. Adjusted net leverage at the end of the year should be at or below 5 times based on a revised adjusted EBITDA outlook of $70 million to $71 million. This is excluding any leverage impact from potential buybacks. Given our ownership structure and current valuation allowance, our outlook still assumes negligible corporate income tax expense this year. All-in, we expect 2022 adjusted net income between $27.5 million and $28.5 million. We are confident in the strength of our business model, our loyal customer base and the recurring nature of hair growth to insulate us from significant shifts in consumer sentiment. However, we are mindful that the macroeconomic environment may not improve in the short term. As we think ahead to 2023, we also assume current transaction trends will continue through at least the first half of next year, given the current landscape. We intend to continue leveraging the tools at our disposal, marketing outreach, network incentives guest-facing promotions and service innovation to continue taking share in this highly fragmented category. We remain laser-focused on delivering against our long-term growth objectives. We are pleased that notwithstanding the costs incurred this year to operate as a first-time public company, 2022 is expected to generate growth at or above our longer-term targets. We recognize that, while there may be some noise in the short term, over a multi-year period we expect to deliver compounding annual growth of high single digits for new centers, high single digits for same-store sales, low double digits for total revenue and low to mid-teens for adjusted EBITDA. Before we take questions, I'd like to turn the call back to David for final remarks. David?
David Berg: Thanks, David. In summary, European Wax Center's strong asset-light business model is generating significant cash flow and driving results for our guests, franchisees and shareholders. We remain the dominant player in a highly fragmented industry, based on a recurring need, hair removal. While not immune to inflation, our core guests remain extremely engaged, demonstrating that a challenging macro environment does not change their appetite for our services. Our brand continues to attract top talent, along with the unwavering demand to develop new locations throughout our significant white space. We believe that over the long term these competitive advantages will enable us to continue taking market share regardless of the environment. I will now turn the call back over to the operator for questions. Operator?
Operator: [Operator Instructions] Our first question or comment comes from the line of Jonathan Komp from R.W. Baird. Mr. Komp, your line is open.
Jonathan Komp: Yeah. Thank you. Good afternoon. I wanted to just ask a little bit more about the customer behavior you're seeing and how you're reflecting that in the tightened outlook for the year? And more specifically, when I look to the fourth quarter, could you just share how you're thinking about same-store sales for the quarter? Any insight on, your expectations to be able to impact the sales trends, and as we look forward into first half of 2023 just any thoughts on additional drivers or other initiatives that might be able to help drive sales here?
David Willis: Hi Jon David Willis good to talk to you. Thank you for the question. When we narrowed our guidance we really were just factoring in what we saw the transaction trends, as we exited the second quarter that we talked about on our last call, we really saw those continue throughout the third quarter and as we're one month into the fourth quarter kind of the same trend no better, no worse. Not fully recovered to what we saw in Q1 of this year, but fairly steady. And that's coming from our episodic guests, kind of our lower quintile guests that are just spreading their visit frequency out a bit. David touched on it. We took a number of actions in the third quarter. The three-plus-one Wax Pass promo we think was a successful initiative. The fall 50 that we did in the third quarter in terms of giving 50% off that second service that the guest has not had with us in over a year, the rebooking contest, we had success with that in the third quarter. We're extending that here into the fourth quarter. So we continue to take actions to drive visit frequency. And feel overall very good about the health of most of our guest file. David touched on it. Our top quintile guests, they haven't changed the routine one bit. They represent over half of our system-wide sales. They're coming at the same frequency and candidly spending a bit more. So we're going to keep an eye on it. In terms of same-store sales comps when you kind of run the math at the midpoint of our guidance, I think that kind of takes us here to low-single digit for the fourth quarter.
David Berg: That's right. Yeah. I mean, Jon, if you think about the revised guidance of approximately 9.5% and what we've achieved, thus far, year-to-date, keep in mind, Q1 had an easy compare in California than we saw some pre-COVID recovery in Q2, Q3. But that suggests about 3% -- approximately 3% for Q4 for that approximate 9.5% guidance. Just as a reminder, that's the low single-digit comp transaction, decline offset by the pricing actions that we took in the quarter that you'll see that 3%.
Jonathan Komp: Yeah. Great. And if I could just ask one follow-up, David Berg, I think you mentioned the initial outlook for unit development in 2023 which sounded quite strong, just wanted to get a little more context to your visibility and confidence to that level, especially just given higher construction costs, higher financing or interest rates for franchisees just in an uncertain environment. Just curious, what gives you confidence at this stage in projecting a pretty solid outlook?
David Berg: Yeah, Jon thanks for the question, always good to hear from you. We feel great about what we're looking for all solely for the balance of this year where now this is the second or third time we've been able to raise our new center outlook up to 88 to 90. And really what gives us confidence as we look to 2023, Jon is the robustness of the pipeline that we have -- that we've built. And we've said this before, but it bears repeating which is 90-plus percent of those new center commitments are from our current franchisee base. So these are folks that either, are well capitalized with an institutional partner or they're just because of the 60% cash-on-cash returns they have in the centers that they're operating, they've got plenty of cash to go forward and continue to grow with us. So we do not see interest rates as any kind of deterrent. The demand is there. Our construction costs we've really done a good job, in this new center design to get it into that range where franchisees are comfortable and can still have the kinds of returns in the time lines that we've had in the past. So as I stated in my opening comments, we'll hit that 88 to 90 this year and that will be the – certainly, we'll do that next year as well.
Jonathan Komp: Yeah. That's great. Thanks again.
David Berg: You bet. Thanks Jon.
Operator: Thank you. Our next question or comment comes from the line of Dana Telsey from the Telsey Group. Ms. Telsey, your line is open.
Dana Telsey: Hi. Thank you. Good afternoon everyone. When you look at this quarter …
David Berg: Hi.
Dana Telsey: …and the exit rate of the second quarter was there any difference in monthly cadence or also performance in California versus the rest of the country? And then, just wanted to touch on the gross margin guide, which is coming in at the upper end from your former guidance and key drivers there and expectations going forward? Thank you.
David Willis: Dana, this is David. So from California no material difference from the rest of the network. You may recall they're still comping off a fairly lower base relative to the other states. So they're going to show transaction trends a little more favorable than the rest of the network but not material. Do you want to take...
David Berg: Yes. So on the gross margin, Dana, again, hitting in the high end of the range you've probably have seen in Q3 we're a little bit lighter than what we've achieved in the first couple of quarters. Part of that, was the medical supplies agreement that we talked about that came into play closer to Q2. We also have a higher mix of our product sales that occur in Q3. And so, Q3 was a little bit pressured in terms of gross margin, but we'll see kind of that rebounding in Q4 closer to the approximately 71.5% and we feel confident in our ability to deliver the approximately 71.5% for the year.
Dana Telsey: Got it. And then, just lastly, with the value offerings that you've been doing lately what's the game plan to the value offerings in the fourth quarter frequency or any changes to them?
David Berg: Yes. Hey Dana, it's David. Thanks for the question. I think we looked at all of these promotions and actions that we took in Q3 with the lens not just a sort of single transaction. We really had a lifeline for each of these promotions. So let me speak specifically to the three-plus-one offer that we made at the end of Q3, which was really to go after that value-conscious guest. We were very pleased as we talked about with the meaningful uptake we saw in that three-plus-one Wax Pass, three quarters of the folks that bought that had already had at least two services by the end of September. So the timing is right, as they use up that three-plus-one. And you'll recall that there is an expiration date on those. But that falls in line with the nine-plus-three offering that we've got going on through the balance of the year. And with respect to those guests that bought the three-plus-one Wax Pass we have a special offer using it really our CRM to target a special enhanced offer to them to move up to that nine-plus-three offer. Similarly with our 50% off that new second service that we offered guests that we've extended into this quarter, we see that also from a lifeline standpoint that it's an opportunity for us to sell a second Wax Pass to those guests. So as with the three-plus-one Wax Pass purchasers those folks that took advantage of the 50% off the additional service will also be targeted with a special offer to buy an additional Wax Pass with some rewards point -- loyalty rewards enhanced for those folks. Our normal view also saw that we pulled forward our nine-plus-three offer in Q4. We started that two weeks early. We wanted to make sure sort of from a holiday dollar standpoint that we were able to get share of wallet. We've been very pleased with the uptake that we've seen in the first couple of weeks of that earlier promotion. We've got about 30% of those guests that had not purchased a Wax Pass in the last 18 months purchased it in the first two weeks of the promotion. So, we're very pleased with kind of the initial outset and results that we're seeing there. We will certainly run our limited time offer in terms of our retail product and really kind of unique product offerings holiday kind of gift products that will allow our guests to take advantage of things as well. So, we feel good about kind of the again looking holistically at the promotions that we made in Q3 that are going to help continue to drive business for us in Q4 and beyond. 
Dana Telsey: Thank you.
David Berg: Thanks Dana.
Operator: Thank you. Our next question or comment comes from the line of Lorraine Hutchinson from Bank of America. Ms. Hutchinson, your line is open.
Lorraine Hutchinson: Thanks. Good afternoon. I wanted to follow-up on the question earlier about the same-store sales growth looking for low single-digits in the fourth quarter. Can you just talk to the key drivers to reaccelerate that trend to get back to the high single-digit target next year? 
David Willis: It's really going to be the ticket with the Wax Pass from Lorraine, if you think about the size of those tickets and commitments the nine-plus-threes can get in the neighborhood of $600 ticket. So, as our guests redeem those higher-value services we think that that's going to help drive the average ticket here in the fourth quarter. 
Lorraine Hutchinson: Thanks. And then as you look forward, well -- maybe let's pivot to the franchisees. What are you hearing from them about the slightly more promotional cadence that you're offering customers? Are you hearing any pushback from your franchisees? What's the reaction been?
David Berg: Yes. Hey Lorraine it's David. We just -- as I mentioned in my comments, we just came out of our franchisee conference here less than a month ago. And it was the first one we had since prior to COVID. So, it was great to get everybody back together. As we mentioned the 98%-plus satisfaction rate. The energy, the enthusiasm for the brand was absolutely palpable and really all left energized after we got out of that. We certainly heard anecdotally about the commitments that folks are making maybe even getting out of other concepts that they might be in and double downing and investing in European Wax Center. We have a great relationship with our Franchisee Advisory Council and we have discussions with them regularly about any kind of promotional activity. I'll double click on the [Technical Difficulty] plus one. That was incredibly well-received by our Franchise Advisory Council and by the network that this was an opportunity for us to go out and help get that cost-conscious guest on a Wax Pass so that we can then articulate them up to the nine-plus-three and a special offer that we're giving them is kind of a no-brainer in terms of getting them hooked into that. So, we make sure that we always are getting our franchisees to buy and make sure that they understand. And one of the most important things I've said this many times on these calls in any franchising system we've got to do things that our franchisees know how to do and know how to go execute. And anything that we've run, so a rebooking contest giving more dollars for referrals, selling Wax Passes, this is all right in the wheelhouse of the great operational expertise of our franchisees and that's why I think we've seen such nice results in terms of the levers that we pulled in Q3 and will continue in Q4.
Lorraine Hutchinson: Thank you.
Operator: [Technical Difficulty] Mr. Heinbockel, your line is open.
John Heinbockel: Hey guys. Can you talk to -- in this environment, what do you think happens to the maturation curve right of new centers this year's cohort maybe next year? Is the top line ramp a little slower but is the bottom-line ramp better right? Because if transactions are under pressure maybe you don't need as much wax specialist labor right? And that helps the franchisee P&L. Is that -- how do you think about that? 
David Willis: John we've really seen the last couple of years cohorts including new centers opened this year continue to ramp a bit ahead of the historical maturation curve. So, I don't know that I would say that it's worse in the early years. We continue to be very pleased with how that -- how these centers are ramping. As David had mentioned -- maybe not mentioned in our prepared remarks, we're in the very early innings. All of these fantastic new center openings have really come from our historical franchisees. We're in the very, very early innings of new center openings coming from the institutional capital-backed operators. They kind of found entry points over the last couple of years. We negotiated multiunit development agreements with them and they're just at the early stages of starting to reopen. So, not only does that drive confidence in our ability to deliver the NCO targets that we've committed to you guys, but the performance -- operational performance of those centers were quite confident they will continue to ramp positively. 
David Berg: And in terms of -- you touched on this John. But in terms of profitability of our franchisees, we've also seen really healthy results throughout this year ahead of 2019 results as well. So, while we've seen the maintenance of the overall maturation curve and topline we've also seen an improving bottom-line from the four-wall standpoint. 
John Heinbockel: And how do you guys think about there's a balance densification drives network effect but it also potentially increases cannibalization. So, how do you look at the balance of that again in a maybe a slower demand environment? And do you think -- how much do you think cannibalization ramps up? I don't know if you've quantified it lately but how much that increases right over the next year or two?
David Willis: Well, John I would say that when we model our white space both from a top-down perspective from the demographics and then a DMA trade area by trade area going back up we had modeled kind of 5% to 10% cannibalization rates. That's what's driving us ultimately to our target of 3,000. Now, what I would tell you is we've seen some franchisees that want to strategically identify a market on an accelerated basis they're willing to cannibalize their own centers a bit more than that. But we're still comfortable that that 5% to 10%. We haven't seen any significant change over the last call it two to three quarters in terms of cannibalization rates where our franchisees are identifying markets.
John Heinbockel: Okay. Thank you.
David Berg: Thanks John.
Operator: Thank you. Our next question or comment comes from the line of Kelly Crago from Citi. Stand by. Your line is open.
Kelly Crago: Hi, there. Thanks for taking my questions. Just wanted to follow-up on an earlier question around the first half of 2023 from a comp perspective. You're still planning transactions down low-singles. I think you might start to lap the pricing increases. So, is it fair to assume that the comps would be potentially negative in the first half of next year, or am I not thinking about that one right? And then I just have one follow-up. Thanks.
David Willis: Yes. It’s good question, Kelly. So you're right that we will be lapping but there's also the maturation curve and the continued growth of our centers. And so, how I would frame it up is you would see about 300 basis points to 400 basis points pressure on our overall comp. And so thinking through it -- obviously, it's too early to guide we'll kind of learn more and give that holistic perspective. But as you look at the trends, I would think through 300 basis points to 400 basis points of pressure on the overall comp.
David Berg: Kelly, I would just add a lever that we've had in our toolkit is taking price. We've taken price each of the last couple of years. As of right now, we don't have a set target date for taking price across the network. When we did a postmortem analysis of the price we took earlier this year, we found that it was quite effective with very nominal attrition. Now there's a handful of franchisees that took multiple price increases this year and we did see them have some ticket attrition. So we're going to be very mindful in terms of how we think about price. We're going to be mindful of our cost structure four-wall margins as we look at this holistically. But as of right now, for Amir's comments, we don't have baked into first half of next year and assume price increase.
Kelly Crago: Got it. And just a follow-up on the last the 300 basis points to 400 basis points of pressure on the overall comp, is that relative to the high single-digit comp guidance that's out there longer term?
David Berg: That's right.
Kelly Crago: Okay. Got it.
David Berg: That's exactly right. Yes.
Kelly Crago: Got it. And I guess -- and then the other point on the price increases, I mean I'm just curious what you think is that any impact on transactions this year, especially given the inflationary environment overall? Would that make you think differently about price increases given the weakening macro environment? And just lastly on that point, since you've had to get a little bit more promotional to drive traffic, I mean does that have any impact on your margins, or is it sort of borne by the franchisees? Thank you.
David Willis: Sure. So in terms of the pricing when we did our evaluation of that, we found that for those franchisees that took the pricing that we recommended, those had nominal impact on tickets. I want to make sure I'm clear. There are a handful of franchisees that either took more price than what we recommended or to multiple price increases throughout the first half of the year. Those few centers did have an impact on ticket attrition. So that told us, we had it about right or we felt we had it about right in the first quarter but we are mindful of taking more price against the backdrop of the inflation that everyone is seeing. And in terms of the promotion and the impact on the four-wall, and as you've heard kind of David Berg mentioned a lot of the promotions are focused on driving long-term value for the guest. And so if you think about the three-plus-one Wax Pass, they're running the nine-plus-three two weeks earlier. And so we see that although, it's a very short-term, slight impact to the four-wall, we see that as an overall positive impact to transactions. And then some of the incentives that we have run have been supported by the corporate to drive engagement at the center level around rebooking some of our services per ticket contest. And so it's kind of a mixture of both, but I would say all of it is focused on driving long-term value for the guests.
David Berg: Maybe one final point I would make, we now have the data to better measure and monitor performance of these promotions. We're not necessarily running more promotions than we've run historically. We have better data to measure impact and pilot different options. So we're probably talking about it more but I don't want you to get the impression that we're running more promotions in what the brand has historically run.
Kelly Crago: All right. Thank you, guys.
David Berg: Thanks, Kelly.
Operator: Thank you. Our next question or comments comes from the line of Simeon Gutman from Morgan Stanley. Mr. Gutman, your line is open.
Simeon Gutman: Hey, guys. I missed a little bit at the beginning, so pardon this if it's repetitive. I think you said transaction run rate quarter-to-date is the same as Q3, but I don't think you gave like any other like total comp quarter to-date. I guess the question is should that be consistent with the comp? And then, the implied Q4, are you building in any change in how the consumer is feeling?
David Willis: Yes. So in terms of Q4 we're not building any -- we're basically looking at that the run rate that we have seen and factoring the same run rate through the end of the quarter. As you know we have our nine-plus-three promotion. And so Q4 is a relatively important quarter for us and a big quarter for us. And the results that we've seen in the first two weeks of launching the nine-plus-three, has been encouraging. The transactions that we talked about early on Simeon was being down low-single-digits in terms of overall transaction comp versus an expectation of low-single-digit growth. Overall transactions, is still growing. Just in terms of comp, we are down.
Simeon Gutman: Okay. The second one is around interest rate environment. I guess franchisee, appetite, new leads, et cetera, I guess Dave you've been in this environment for both Davids actually. So curious we get a lot of questions on it. We don't have to think about it. Does this mean -- does it end up tilting towards some of the larger well capitalized? Does it mean the diversification plans have to pause? How should we think about it?
David Berg: Yes. Simeon I think, the short answer is there an impact of the rising interest rates in our franchisees and their desire to grow. The short answer is no. And I think if you dissect it in the two groups, the folks that are self-funded are great franchisee operators. They're utilizing the cash that they're generating from their mature centers to reinvest. And we talked about it before that the bulk of our growth in 2022 are from those folks. It's not from the institutionally backed franchisees. So we'll see that -- we'll start to see the benefit of that to John's question earlier that's part of what gives us that confidence in 2023 are those multi-year multi-unit commitments that we have. And with respect to those franchisees that have taken on an institutional capital partner, they're well capitalized. They're not over-levering these units. Again, Simeon, this is a $350,000 build out. So the capital requirements are not that great. So we don't see it from our franchisees. We don't see it in terms of the pipeline growth that we've experienced nor in terms of the excitement about getting more units with our current franchisee group that again 90-plus percent of that growth is coming from those folks.
Simeon Gutman : Great. Thank you. good luck.
David Berg : Okay. Thanks, Simeon.
Operator: Thank you. Our next question or comment comes from the line of Scot Ciccarelli from Truist. Mr. Ciccarelli, your line is open. 
Scot Ciccarelli: Good afternoon guys. So I guess I'm a bit confused on the promotional activity comments, because I guess kind of the way you guys were talking about it, it did seem like you were increasing promotional activity, but then you just said there really isn't a difference in cadence. Can you help clarify specifically what you mean on that?
David Berg : Scot, sorry, this is David. I may have been confusing on that point. We are not -- the question was raised, are we running incremental promotions? Is it margin dilutive either to us or to our franchisees? In terms of the quantity and the types of promotions are very consistent with what we've run historically. We're tailoring specific promotions and we're talking about them more, because we have better data to measure them. So I just didn't want there to be the impression that everything is on sale all the time. These are all promotional activities that our franchisees are quite familiar with and are good at executing.
Scot Ciccarelli: Got it. And so when you talk about transaction activity really hasn't changed from that kind of negative low single-digit cadence that you had over the last several months. We shouldn't assume that's despite, let's call it, higher promotional activity it's just kind of the same run rate both on transactions as well as promos.
David Berg : Yes. What we are trying to do are run those promotions that are going to drive guests into centers give more share of wallet ultimately to drive guest visit frequency. We probably spend more time talking about the wax pass and the positive halo effect of getting guests on a wax pass, but every one of our promotions is really intended to drive first new guests into the center, maximize share of wallet there, and then best case get them on a regular routine so that we get the -- our franchisees get the benefit of that frequency.
Scot Ciccarelli: Got it. Okay. I understand now. Thank you.
David Berg : Thanks, Scot.
Operator: Thank you. Our next question or comment comes from the line of Korinne Wolfmeyer from PSC. Your line is open.
Korinne Wolfmeyer: Hi. Good afternoon all. Thanks for taking the question. Quickly on what you're seeing on the retail side. Can you just provide a little perspective on how that side of the business has been performing, and what you've been doing promotion-wise? I mean, it does seem like some of the promotional activity has been increased there a bit, but can you just provide a perspective on what the normal promotional activity for those retail products?
David Willis : Sure, Korinne. We -- most recent promotion we ran on retail was to buy more save more promotion. And we ran -- I think we ran one of those in the first quarter last year. We ran at least one of those last year in 2021, and we've been pleased with the results. Retail attach rates have kind of been in that 13% to 15% range. So they've been reasonably consistent. The LTOs that we're running here in the fourth quarter are really geared towards holiday products. So we've been quite pleased overall with the results from our recent retail promotions.
Korinne Wolfmeyer: Got it. Thank you. And then can you just touch on what you're seeing in terms of like average ticket price? I mean, I know you gave that price, but how do you see that developing over the next couple of quarters or even years? Is there a chance or opportunity to start pushing some of these higher cost services on your existing customers to drive that average ticket price up? Just how are you thinking about that? 
David Willis : Yes. So, in terms of the average kind of order value, we see that around $55 to $56 and that is up as you would expect with the price increase. So it's up about 5.6% compared to last year. There's always kind of initiatives to suggest and upsell at the center by the GSAs. We also have another driver of taking up that lever, which is services per ticket. We ran a contest around that in Q3 and we saw a slight increase there as well. And so there are promotions and let's call it initiatives around that for GSA to recommend and drive that. We expect that to normalize absent any price increase next year. 
Korinne Wolfmeyer: Thank you.
David Willis : Thanks, Korinne.
Operator: Thank you. I'm showing no additional questions in the queue at this time. I'd like to turn the conference back over to management for any closing comments. 
David Berg : Thank you. And thanks everybody for taking time on the call today. We certainly look forward to speaking with you in the days and weeks to come and us continuing to deliver on our long-term growth objectives. So thank you all very much for joining us. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.